Operator: Good afternoon. And welcome to the Talen Energy Fourth Quarter 2023 Earnings Conference Call. All participants will be in a listen-only mode [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to, Ellen Liu, Senior Director of Investor Relations. Ellen, please go ahead.
Ellen Liu: Thanks, MJ. Welcome to Talen Energy's fourth quarter 2023 conference call. Participating on today's call are Chief Executive Officer, Mac McFarland; and Chief Financial Officer, Terry Nutt. I'd like to highlight that we have posted materials on the Investor Relations section of our Web site, www.talenenergy.com that provide additional information about our operations fourth quarter and full year results. We have also provided information reconciling our non-GAAP financial measures to the most directly comparable GAAP financial measures in our earnings materials. Today, we are making some forward-looking statements based on current expectations. Actual results could differ due to risk factors described in our financial disclosures and other periodic public filings. As a reminder, we have allotted additional time for a question-and-answer session at the end of our prepared remarks. We ask participants to please limit their questions to one primary and one follow-up. With that, I will now turn the call over to Mac.
Mark McFarland: Great, thank you, Ellen. Good afternoon, everyone, and thank you, for joining us today. As Ellen mentioned, we have materials posted and today we're going to follow along the slides, so I'm starting on Slide 3. I'd like to kick this call off by highlighting the transformative year we had in 2023. We were relentlessly focused on unlocking and maximizing value. 2023 was the strongest year in Talen's history with over $1.12 billion of adjusted EBITDA and $587 million of adjusted free cash flow. Adjusted EBITDA was inline with our guidance midpoint and adjusted free cash flow exceeded the high end of our range. This performance was driven primarily by higher energy margins realized through our disciplined hedging strategy, along with strong physical energy margin during ERCOT’s record high demand this summer. As many of you know, Talen emerged from financial restructuring on May 17th last year with modest leverage, a long dated maturity profile and ample liquidity to run the business. Since then, we've been focused on unlocking value, not currently recognized by the market, through strategic initiatives, capital structure, simplification, and what I call regular way operations of an IPP. Looking at the first category. Last week, we were excited to announce the sale of our Cumulus data center campus to Amazon Web Services for over 2.5 times invested capital, combined with two long term agreements that will help us drive earnings and cash flow growth. We'll talk more about this later in the call. In December, we reached a settlement with PPL on our longstanding Talen Montana litigation, resetting the relationship with a key stakeholder and resulting in a $100 million of net proceeds available to support asset retirement obligations at Talen Montana. We've taken several significant steps to simplify our capital structure and unlocked trapped cash flows; we took out a project financing associated with our Lower Mount Bethel and Martins Creek assets by upsizing our term loan; we simplified the ownership of Cumulus Digital by acquiring Riverstone's Cumulus ownership and retiring their warrants; we deleveraged Cumulus by paying off the Orion term loan and further simplified Cumulus equity ownership by buying Orion's approximately 5% share. Looking at our regular way improvements last quarter. We implemented a cost savings program capturing $50 million of annual run rate operational savings. We're making really good progress towards this target, and Terry will provide some more details on it. And we are actively reducing our collateral requirements to increase liquidity. Finally, prior to emergence, Talen was a private company for over six years. In 2023, we realigned with regular way public company reporting practices, including quarterly financial filings, earnings calls and establishing guidance for adjusted EBITDA and adjusted free cash flow. We listed on the OTCQX and in October announced a $300 million share repurchase program to begin returning excess capital to shareholders. We bought back 225,000 shares to date for approximately $14 million. We have also actively engaged with the broader investment community by attending investment conferences, conducting numerous one-on-one investor meetings and working with the sell side analyst community to drive awareness of Talen as a reemerging public IPP. To increase stock liquidity and facilitate additional shareholder returns, we're targeting uplifting on a major national exchange in the second quarter of this year. Moving on to Slide 4. Here's how we plan to continue unlocking and maximizing value in 2024 and beyond. We are raising 2024 adjusted EBITDA guidance to $640 million to $840 million and adjusted free cash flow guidance to $185 million, $335 million based on adding earnings from the AWS contracts and existing Nautilus operations, along with incremental capacity revenues from the recent PJM secondary auction for ‘24, ‘25. Operationally, now that the data data campus is sold, we're working to fully transition it to the new owner and implement the processes we need to begin servicing and earning revenues from our new contracts with AWS. After observing an opening in the ERCOT M&A market, we launched a monetization process for our ERCOT fleet in late 2023 that continues to progress. We are also exploring strategic opportunities for our interest in Nautilus and how to leverage our recent data deal for other potential opportunities across our fleet. After we announced the planned June 2025 retirement of Brandon Shores and Wagner in 2023, PJM reached out to us with request to continue operating both facilities under potential Reliability Must Run Agreements or RMRs. We believe RMR agreements should be used only as a last resort for grid reliability and without creating distortions in the market. To be sure, Talen does not want to be in an RMR situation. Operating that way is not our business model. Nonetheless, under the present circumstances, we are willing to work with PJM and other stakeholders to provide generation from Brandon Shores and Wagner under potential RMR agreements, and we are currently engaged in those discussions. We will need relief from our agreement with Sierra Club to stop burning coal and extension of our Maryland permits, both of which we believe are doable and within the best interest of Maryland, PJM and most importantly, in keeping the lights on in Baltimore. As for PJM and the IMM, we simply ask that Talen receive a fair return of and on equity and at [Technical difficulty].
Operator: Thank you for standing by. We have reestablished our connection with our speakers. Please go ahead.
Mark McFarland: Great. Sorry about that interruption. It's a good thing we run power plants and not IT. I believe, I was talking about needing relief from our agreement with Sierra Club when we got cut off, to stop burning coal and extension from our Maryland permits, both of which we believe are doable and within the best interest of Maryland PJM and most importantly, in keeping the lights on in Baltimore. As for PJM and the IMM, we simply ask that Talen receive a fair return of and on equity and that any RMR not artificially distort the energy or capacity markets, as I previously said. Bottom line, we're willing to work with PJM, Maryland, the Sierra Club on extending the lives of Brandon and Wagner for grid reliability under RMR under the right circumstances. Turning now to our shareholders. We have ample repurchase capacity under our $300 million share repurchase program since we didn't have many opportunities to use it last quarter given our data deal and the possession of MNPI. Further, we are working with our Board on the best way to strategically deploy the net proceeds from our data center transaction as well as future cash flows. As we turn to Slide 5, I want to talk a bit about the broader power market dynamics. Power market demand is growing domestically and globally for the first time in years. In a recent study of FERC filings submitted by US Power Balancing Authorities, the estimate of nationwide electricity demand growth over the next five years nearly doubled between 2022 and 2023 from 2.6% to 4.7%, resulting in 38 gigawatts of additional demand by 2028. And to put that into perspective, 38 gigawatts is roughly half the installed capacity of ERCOT. Much of the new load growth demands base load reliable and zero carbon energy like we have at nuclear plants to balance net zero targets and the need for grid stability. Reliable power is scarce and reliable low carbon power even more so, especially as large power consumers continue to prioritize and work towards their net zero targets. In PJM where most of our fleet operates, the long term load forecast has increased notably over the past year and the primary driver of this growth is what I'd like to hit on next. Turning to Slide 6. The primary load growth drivers are rapid data center growth with the rise of AI and machine learning, as well as industrial and manufacturing companies incentivized by the current administration's industrial policy to build factories, as well as continued electrification in transportation and buildings. Data centers, in particular use for AI and machine learning, could require 5 times to 7 times more power than traditional facilities. Tech companies are expected to invest nearly a trillion dollars in this space over the next five years, with US data center power demand projected to nearly triple by 2030. More than 60% of data centers are expected in the MISO, CAL-ISO, PJM and Southeast by 2027 as illustrated on the map to the right of this slide. This makes a compelling case for generators like us to spend time working on unique solutions to data center power for hyperscalers and colocators. We believe the Cumulus data transaction is one of those unique solutions that will be transformative. And as I said before, this is not just for Talen but for all IPPs. But to be clear, no matter the solution for growing demand, there hasn't been a better time in recent history to be an existing generator or an IPP, and we don't believe the current forwards reflect this new reality. Moving on to Slide 7 and focusing on some of our results. We leveraged our solid operational foundation and strong commercial strategy turnover $1.12 billion of adjusted EBITDA, as I said previously. And after maintenance CapEx, interest pension payments and taxes, we generated $587 million of adjusted free cash flow, and Terry's going to walk you through that in a bit. We continue to focus on capital discipline and balance sheet management, maintaining liquidity of approximately $1 billion and net leverage below 2 times. Our fleet ran well generating 33 terawatt hours with 55% of that generation coming from our carbon free Susquehanna nuclear facility. Our whole team works safely with an OSHA total recordable incident rate of 0.6 on a full year basis. This is in line with our peers and we continue to emphasize safety across the fleet. We had an equivalent forced outage factor of 5.5% in 2023, primarily driven by an extended unplanned outage at our Nueces Bay facility in ERCOT and another shorter unplanned outage at Susquehanna Unit 1 in November. The Nueces Bay extended outage started in September when the main power transformer failed, potentially due to the significant rain and wind during tropical Storm Harold. We've repaired that existing transformer and brought the unit back online. We also purchased a spare transformer, which is on site and can provide backup for both Nueces Bay and Barney Davis. The Susquehanna outage was caused by a condenser leak, which is not associated with the nuclear reactor [Indiscernible] [outage]. Our team took rapid diagnostic and corrective actions at Susquehanna and brought the unit back online within 10 days. I'd like to take this opportunity to recognize and thank our employees across the company. They have worked safely to deliver impressive operational results from Montana to Texas to the Mid Atlantic. These team members are key to our overall financial performance as they operate, maintain and improve our generation fleet and other assets. Without their hard work and commitment to excellence, none of this is possible. Moving on to our most recent announcement, the transformative transaction with AWS. I'd like to just hit on a few highlights. To recap, on March 1st, Talen sold the physical and intangible assets of Cumulus Data or what we call the campus with up to 960 megawatts of data center capacity for $650 million gross. This represents a multiple of invested capital of greater than 2.5 times. Of the $650 million sales proceeds, Talen expects to receive $361 million net of debt pay down fees and minority interest payoff. We will deploy these net proceeds in line with our existing capital allocation strategy, supporting our net leverage target of less than 3.5 times and commitment to our shareholder returns program. As the campus is developed, Talen will supply carbon free power directly from the nuclear plant through a power purchase agreement or PPA. And separate from powering the campus through this PPA, Talen will also receive an additional revenue from AWS related to the remaining carbon free power that Susquehanna sells to the PJM wholesale market. Some of you have heard us refer to this separate revenue stream as carbon free energy or CFE. AWS has significant experience in procuring power through PPAs and a solid investment grade balance sheet. So these contracts establish a low risk growth trajectory for Susquehanna and Talen as a whole. That allows us to focus on what we do best, which is generating power reliably, safely and profitably, and in this case carbon free. The contracted earnings from our long term agreements with AWS are expected to increase significantly as the campus grows, translating into higher EBITDA and cash flow as well as enterprise value at the consolidated level. I want to note that the long term earnings and cash flow impacts from this transaction could be impacted by final nuclear PTC regulations from Treasury, particularly around what is included in the calculations of gross receipts. And with that, let me turn it over to Terry.
Terry Nutt: Thank you, Mac. And good afternoon, everyone. For the fourth quarter 2023, Talen reported adjusted EBITDA of $123 million and a net use of adjusted free cash flow of $22 million. This quarter was positively impacted by lower O&M and G&A cost and lower benefit funding, but negatively impacted by compressed spark spreads and an unplanned outage at our Susquehanna facility in November, which we mentioned during our Q3 call. I also want to note that certain periodic cash payments occur in the fourth quarter that reduce cash flow. For example, our primary debt service payments that happen twice a year and CapEx associated with our planned outages that occur during the fourth quarter all occur at this time. In the fourth quarter, we also continued to make progress on our previously announced cost savings plan. We have completed over 80% of the initiatives identified to reduce both O&M cost and G&A cost in 2024 and beyond by $50 million per year. Looking at full year 2023. As Mac said earlier, we experienced one of our strongest financial performances to-date with over $1.12 billion of adjusted EBITDA and $587 million of adjusted free cash flow, largely due to solid operational performance and effective risk management from our hedging program. We finished inline with the mid point of our 2023 adjusted EBITDA guidance. And are happy to report that we exceeded the high end of our adjusted free cash flow guidance, mostly through maintaining discipline and managing cost and capital spend. Our financial performance for the year was driven by our fleet's solid operational performance and our commercial hedging strategies. Let me provide some more regional detail on the wholesale power markets. In PJM, mild temperatures and ample gas supply drove lower market prices, but our earnings and cash flows were protected by hedge program gains. Our PJM segment earned over $1 billion of adjusted EBITDA in 2023. In ERCOT, the plants ran well during elevated periods of peak demand, especially in the summer, driving significant physical energy margin. Though that was partly offset by outages, including as Mac noted earlier, the extended outage at our Nueces Bay facility. We were also impacted by congestion costs in South Texas. Together, our ERCOT and WECC segment earned adjusted EBITDA of $109 million in 2023. Moving to Slide 10. With the Cumulus Data monetization behind us, we are updating 2024 adjusted EBITDA and adjusted free cash flow ranges with midpoints higher than the initial guidance we gave last quarter. Our adjusted EBITDA range is $640 million to $840 million while our adjusted free cash flow is $185 million to $335 million. We are raising these targets to include the addition of earnings and cash flows from our AWS agreements and our Nautilus operations, along with some incremental capacity revenues from the recent PJM secondary auction for planning year '24 '25. Moving to market overviews on Slide 11. I'd like to briefly discuss the 2024 outlook for the power and gas markets we operate in, starting with PJM. As many of you are aware, we run a seasonal business and make most of our money in PJM during the core winter and summer months. We experienced exceptionally mild weather late in 2023, which combined with ample gas supply reduced much of the risk premium that was previously sitting in Q1 of 2024. With winter power prices squeezed from the gas market, PJM West Hub power prices dropped in January and February of 2024, as well as across the balance of the curve for the remainder of the year. PJM spark spreads compressed in January and February of '24 leading to lower expectations until the summer. However, our hedging program is set up to mitigate these effects. Turning now to ERCOT. Gas pricing at Henry Hub also dropped substantially following a mild winter, robust storage and continued strong production from domestic gas producers in the US ERCOT South Hub power prices declined sharply in Q1 2024 in response to lower gas prices, though summer prices have retained a premium. As you know, summer is the most profitable period for our ERCOT fleet, so we're keenly focused on what happens to projected spark spreads during that time. Overall, ERCOT South spark spreads expanded by benefiting from the declining gas prices but continued expectations of tight supply and demand conditions for the peak period. Moving to Slide 13, and turning now to the balance sheet. We remain committed to maintaining modest leverage levels at or below our net leverage target of 3.5 times, and using excess cash flows to maximize return on capital. Our net debt to EBITDA ratio using 2023 adjusted EBITDA was approximately 1.6 times. As of March 8th, we have ample liquidity of approximately $1 billion, including $459 million of unrestricted cash. As Mac noted earlier, paying off the Orion term loan was an important step that we took this quarter to further simplify our capital structure. Removing this project financing debt allows cash distributions from our share of the Nautilus facility to flow up to the Talen parent and to be used in our overall capital allocation strategy. Furthermore, buying back Orion's minority equity stake enables Talen to capture a higher percentage of the cash distributions. As an update to our $300 million share repurchase program, we've repurchased approximately 225,000 shares for approximately $14 million to date. That's a weighted average price of approximately $63 per share. With only these modest purchases to date, we have significant repurchase capacity remaining. With that, I'll hand the call back to Mac.
Mark McFarland: Great. Thanks, Terry. Before we open the call for Q&A, I just want to reiterate our continued commitment to our strategic priorities. We run a low carbon intensity fleet, which is anchored by a top decile nuclear plant and we generate power safely, reliably and profitably. Those are the table stakes. We believe having a diverse generation portfolio is important to helping us manage risk. Our fleet provides a solid base of stable cash flows from the [Indiscernible] bolstered by the PTC while maintaining the flexibility to capture upside through both physical generation and our commercial hedging strategies, like we did in 2023 and like our hedges are doing in 2024. We're focused on unlocking and maximizing value from our assets as demonstrated by our Cumulus transaction and some of the other strategic initiatives we have in play. And with our available cash, we prioritize maintaining a healthy balance sheet and then returning excess capital to shareholders. We thank you for your interest in Talen and we thank you for joining us on today's call. We'll now open the line for questions and I'll turn it back to the operator, MJ.
Operator: [Operator Instructions] Today's first question comes from Michael Sullivan with Wolfe Research.
Michael Sullivan: I wanted to maybe just parse out the '24 guide raise up a little more. I guess first, were there any offsets to some of those positives that you talked about that will factor in? And then can you be specific maybe on how much of the guide rate is coming from the Nautilus coin operation and just how you're thinking about strategic options there?
Terry Nutt: I'll take that question. So there's three components in there. The secondary -- the PJM secondary auction revenues single digit millions, so it's not a significant portion. And then what I would tell you is the remainder of that is really split between the additional earnings from the new contracts with AWS and the Nautilus operations.
Michael Sullivan: And how do you think about just the future of Nautilus and how you could better monetize that or do something strategic?
Terry Nutt: So Michael, as Mac mentioned earlier, obviously, we're looking at strategic alternatives for that. And we'll continue to focus in that arena. I think, obviously, you can imagine the value, the volatility around Bitcoin and that obviously influences, but we'll look for the right transaction and we'll look at the transaction that maximizes value for our shareholders.
Mark McFarland: Michael, maybe just to piggyback on both the questions and answers from Terry. First of all, if you go back to our presentation about the Cumulus data deal, we showed $15 million in 2024. So that's what's been embedded. And then you can just view a little bit, as Terry said, for the residual auctions and then add on the Nautilus distributions that we anticipate through the year, and that's what moved the midpoint of the guidance. I think the second point that I'd make with respect to Nautilus is we've said previously that we're not necessarily in the coin business. We are right now because we own 75%, but that's not necessarily our long term strategy to be in the coin business. But let's just talk about that for a second. One of the things that we had to do in order to get the strategic flexibility on Nautilus were the steps that we've taken. We had to buy out our partners right that allows us to control the governance. We had to remove the Orion debt. We've done those things. So now we have a significant amount of freedom or a significant amount of more freedom to do what we want to do strategically with Nautilus.
Michael Sullivan: And then I think I know the answer to this. But just anything, I guess, other than timing of the ERCOT sale that would prevent timely uplifting with the Q2 target there?
Mark McFarland: So on the ERCOT process, Michael, we continue to progress that, okay? And that's about all we can say on that. And obviously, if there's some -- if we're at a certain point in that path, and it has a complication like the data complication had with MNPI that would obviously do two things; one, it would conflict us from being able to exercise our share repurchase program; and two, could have an implication on the time line that we stated, which is Q2 for the uplisting.
Michael Sullivan: But outside of ERCOT, no other real hurdles for the uplisting.
Mark McFarland: Yes.
Operator: The next question comes from Angie Storozynski with Seaport.
Angie Storozynski: So maybe I just wanted to start with a very simple question about the net debt calculation. So what is included in that number, the 1.74 you showing us and then just a bridge from that point to what you're showing me for the end of 2024. So I want to know Cumulus proceeds, share buybacks, again, how those are reflected in these two numbers, those two ranges?
Mark McFarland: Angie, that was a very detailed question, so I'm going to let Terry take that.
Terry Nutt: So in the 1.74, we've got our secured debt of just over -- just under $2.1 billion and then we've got included in that, I think the [Indiscernible] bonds are in there as well, so that gets you to about $2.2 billion. And then obviously, we've got a significant amount of unrestricted cash at this point in time of 459 and so that's what gets you down to the 1.74. And then your second question I believe is -- was on 2024…
Angie Storozynski: Yes. I mean -- so basically, it doesn't seem that, that number, that range one point -- I forgot the number, 1.405 to 1.555, that range includes any buybacks. And so I'm just trying to bridge this with free cash flow generation and the lack of buybacks…
Terry Nutt: Angie, could you help me what slide are you looking at or what material are you looking at?
Angie Storozynski: So you do provide guidance for the net debt, right? So that's Slide 23, right? Net debt for '24, right? $1.405 to 1.555, that's Slide 23. And so I'm just basically trying to understand how that -- how I get from this $1.74 currently to this range and basically, I'm trying to account for the cash flow generation during the year and buyback.
Terry Nutt: I understand. So Angie, and I apologize, I'm looking at this myself. And apparently, we like small font for footnotes. So this, on Slide 23, does not reflect anything around our capital allocation strategy or potential share buyback. So you would have to factor that in. And we don't forecast buybacks, obviously, from a commercially sensitive standpoint.
Angie Storozynski: But just going back to the starting point, and again, I'm sorry, I know we can do it offline. But I'm just -- this accounts for the initial $350 million of proceeds from Cumulus. So I'm still waiting for additional $300 million, which is waiting in escrow or is this already reflected in this starting point?
Terry Nutt: It reflects the net proceeds of $361 million from the Cumulus transactions. So keep in mind that the $361 million is our net proceeds number after the paydown of the Orion debt, after fees, taxes and the like.
Angie Storozynski: And then secondly -- so now that you've optimized Cumulus and there are those two other routes, right, the Texas assets and the coin. I mean, how do you consider your earnings concentration risk, what is the next step? I understand the uplist is coming. But do you have any preferred path in, say six to 12 months, you want to be still a standalone company, again, how do you -- what is your strategy going forward?
Mark McFarland: I think we've been fairly clear that what we're doing is maximizing value and doing that for our shareholders. And when we think about that, that includes the uplisting in Q2. We've said that we don't believe that the ERCOT assets were accurately being reflected in our valuation. We're comfortable with selling those. We look at what we have to offer. And while you phrased it as concentration associated with an asset, we're actually capturing a significant amount of value in '24 right now associated by widening sparks as gas has come down, power got sticky, sparks have widened and some of our out of the money options -- optional assets, Brunner, Montour, Martins Creek have started to create value that we're capturing through our hedging strategy. We like that profile. We have downside protection through the PTC. And I would suggest to you that one of the things that we can offer on that base of 740 midpoint is growth through the development of that data center and our EBITDA and our free cash flow, defined growth with an A credit -- higher than A credit, investment grade counterparty. And again, we like where that portfolio is positioned and we think that there's an appetite for an IPP like that.
Angie Storozynski: And then lastly, on NOLs. Again, as we are getting ready to hear updates about coin and the Texas assets. What should we expect as whatever potential tax leakage from those sales?
Mark McFarland: So Angie, I think what I would share with you is, at the end of 2023, we had approximately $1.26 billion of federal NOLs that remain. So obviously, we've got a little bit of a tax shield there. There are limitations on those NOLs from a post bankruptcy standpoint. But that's our NOL shield that remains.
Operator: The next question is from Ian Zaffino with Oppenheimer.
Ian Zaffino: Your question -- I guess, just following up on the buyback or the leverage. It does seem like you have meaningful room to take your leverage up to get to your target. And so how are you thinking about an ultimate buyback, right? Because the authorization only gets you part of the way your max leverage or where you want to go. So are you going to raise the authorization, how do we think about that? And then a follow-up on that question would be, are you in blackout period right now? As you look sort of throughout the quarter, are there going to be periods where you're not going to be blacked out because I know where ERCOT’s going on? So how do you think about the days or the opportunities, or how large the opportunities are to stop buying back stock?
Mark McFarland: Ian, I'll take that and then Terry can add on. But look, because of M&A activity, we're not going to say whether we're in a blackout period or not in a blackout period. And you'll have to wait until the quarter end to see just like we did here, we provided subsequent event with our filing and let you know how much shares we've repurchased. But you're going to have to wait until the end of the quarter and do those types of things. We're looking to utilize, as part of the share repurchase program, both the ability to look at market purchases as well as potentially a 10b5-1 program that gets implemented during an open trading window. But they are going to have the -- there's going to be a confluence here of things, which is we've told you we're progressing in ERCOT process. We're looking at strategic alternatives with Nautilus. We have the $300 million of development milestones, escrow release. And as we sit here and look at that, and I appreciate the question, I would just tell you it's about a quarter or two premature. We still have a lot of dry powder on the share repurchase program. But as we add this cash to our balance sheet and we've significantly reduced the net leverage that we were just walking through with Angie there by the end of year end '24, we're going to further add to that and we'll look at what is the best way to optimize that return of cash, excess cash to shareholders.
Ian Zaffino: And then the Slide 6 is great, it really kind of lays out the need for power from the hyperscalers. Is there any other opportunities for you to capitalize on this, because since the Susquehanna data center’s locked up and I guess done. So looking at this map, is there anything else that would impact your business as kind of the need for power and data centers grow?
Mark McFarland: Well, yes, I think as I said, we're looking at other opportunities. There are people out there and you've heard some of our colleagues in the industry state that people are looking at gas. And I will tell you, it's not that far fetched that people are actually looking and considering thinking about coal. I know that seems odd given that we just did a zero carbon deal. But there is a tremendous amount of need for power. So I think that there is an opportunity to expand this. But let's not lose sight. And one of the things that you covered on what we're focused on in 2024 and maximizing value is the implementation of the transition of the data campus as well as the milestones and getting that data center built. And if we can do that and do that faster than in the schedule that we laid out on Page 8 on our March 4th presentation, that's incremental value too. So I wouldn't say that the Susquehanna deal was won and done. It's won and we're going to work to perfect it over time. It's got the minimums in there but we're not driving towards the minimums. We're looking for the maximums and to get it done sooner than the schedules that we laid out on the 120 megawatts there. So we're looking to help facilitate that. We don't control that but we can certainly help facilitate that.
Terry Nutt: And Ian, just to add to Mac's comments. I think the other thing, when we think about the AWS transaction for the broader Talen and you think about, obviously, a question that everybody asks, well, what is the growth profile. And the information that we shared with the market last week, once you get the development of that campus, you can see a sizable growth profile that we would have. I mean, for example, if you took our guidance range for adjusted EBITDA this year and then factored in potential growth three, four, five years down the road, we're fairly happy with what that shows from a growth profile for Talen.
Mark McFarland: And Terry has grown it off of ‘24, which let's not forget right now, we're sitting at $1.75 gas market, right? So we're sitting at a year in which the capacity clears and PJM were $50 a megawatt day [Indiscernible] [market]. So we're sitting at a fairly low point in the commodity curves. And this is why I said I don't believe all this demand that you said was on Page 6, that demand or any other demand that's coming back, it's for the first time we're seeing load growth being projected in all these ISOs. That load growth, power markets don't have that much length and tenor, right? The visible markets, 18 months, maybe 24 months, and then it gets very thin thereafter. But I can tell you the current market environment does not reflect this load growth, and we're going to start to see it show up over the next couple of years.
Operator: Thank you very much. This concludes our question-and-answer session. I'd like to hand the call back over to Mr. McFarland for closing remarks.
Mark McFarland: Well, great, and thanks everyone for joining us and for your continued support of Talen. I apologize about the technical difficulties and the short intermission there where you got to listen to music. So I hope everyone has a good day. Take care.
Operator: The conference has now concluded. Thank you for your participation. You may now disconnect your lines.